Operator: Good day and thank you for standing by. Welcome to the Papa John's Third Quarter 2023 Conference Call and Webcast. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to introduce your host for today's call, Stacy Frole, Vice President of Investor Relations. Please go ahead.
Stacy Frole: Good morning, and welcome to our third quarter earnings conference call. This morning, we issued our 2023 third quarter earnings release. A copy of the release can be obtained on our Investor Relations website at ir.papajohns.com under the News Releases tab or by contacting our Investor Relations department at investor_relations@papajohns.com. On the call this morning are Rob Lynch, our President and CEO and Ravi Thanawala, our Chief Financial Officer. Before we begin, I need to remind you that comments made during this call will include forward-looking statement within the meaning of the federal securities laws. These statements may involve risks and uncertainties that could cause actual results to differ materially from these statements. Forward-looking statement should be considered in conjunction with the cautionary statements in our earnings release, and the risk factors included in our SEC filings. In addition, please refer to our earnings release for the required reconciliation of non-GAAP financial measures discussed on today's call. Lastly, let me thank you in advance for asking only one question and getting back in the queue for more follow up. Rob?
Rob Lynch: Thank you, Stacy. Good morning, everyone, and thanks for joining us. I would like to start out by thanking our team members and franchisees for their hard work and dedication for delivering the best experience and value proposition for our customers. The sales and transaction growth will speak to today are the direct result of their solid execution as they drive our business with agility and adjust the changing consumer purchasing behaviors. As you read in our earnings release this morning, the positive North America comp sales and transaction growth that we discussed at the end of the second quarter, continued throughout the third quarter at both our company-owned and franchised restaurants. Together, we delivered 3% increase in North America comp sales by remaining focused on what matters to our customers: product Innovation, operational excellence, and a strong value proposition. We are particularly pleased that our growth in the quarter was driven by higher transactions, reaffirming the strength of our brand and continued demand for our products. Our company team remains committed to providing quality products, a winning customer experience, and great value, which led to a 6% comp sales growth in our company-owned restaurants. This transaction driven growth combined with lower food costs resulted an improving restaurant level margins in the quarter. Despite the strong sales growth in North America, our company's adjusted operating income was just in line with the third quarter last year due to the dilutive impact of our recently acquired restaurants in the UK. Today, I will focus on the key drivers of our North America business, including updates to our U.S. commissary operating model and provide an update on our recent acquisition of the UK restaurants. I will then pass it on to Ravi, who will walk you through our third quarter financial results in more detail along with an update on our fiscal 2023 and long-term guidance before opening the lines to answer any questions that you may have. First, our North America business, our corporate teams continue to work closely with our franchisees to deliver our product innovation with excellence and create strong customer value through our revenue management capabilities. This has resulted in an increase in unit level profitability while preserving customer counts. In the current inflationary environment, we have watched as many restaurant brands have increased menu prices. We have found other ways to drive restaurant profitability and have executed a thoughtful approach to managing price and promotions. As a result, we believe that our products offer an attractive value proposition to consumers compared with other QSRs. This was a key driver of our transaction growth in the quarter and we expect it to continue as many QSRs continue to take more price. To put the current pricing gap into perspective, at Papa John's, if you were looking to feed a family of four and order two large one topping pizzas and a 2 liter of soda for carryout, on average, it would cost you approximately $22. This ticket is well below what it may cost feed that same family of four add many QSR drive throughs where the ticket is likely to run more than $40 on average. In challenging economic times, this should lead to continued transaction growth. However, I want to emphasize that our goal is not only to provide pricing value, but a high quality premium offering. This is ultimately what sets Papa John's apart from others in the pizza category and why we are on the path to achieving our fourth consecutive year of positive North America comparable sales growth. Our consistent annual sales growth is driven in large part by our menu innovation, which has been a strong sales and engagement driver for us. No one in the pizza space innovates like we do. We have repeatedly delivered sales driving creatable new products. In the third quarter, we continued our innovation by expanding our popular Epic Stuffed Crust Pizza platform. Our new Garlic Epic Stuffed Crust Pizza was a direct response to the love that our fans have shown for our Epic Stuffed Crust and our iconic special garlic sauce. The pizza launched in July for a limited time at a premium price point of $13.99. We then turned the heat up even more with our Spicy Garlic Epic Stuffed Crust which followed in August. We also launched new all white meat Boneless Wings. The Boneless Wings were introduced as another great option within our nationally advertised Papa Pairings program where customers can select two or more menu items for just $6.99 each. Providing products such as Garlic Epic Stuffed Crust Pizza at $13.99 and Boneless Wings at $6.99 demonstrates our commitment to our barbell strategy as we look to provide value to our customers across a broad range of price points and product offerings. Last week, we announced the return of our Chacaroni pizza. Our pizza with a purpose donates $1 from every Shaq-a-Roni pizza sold to the Papa John's Foundation for building community. A perennial fan favorite, we expect it to help close 2023 on a positive note. We also expanded our Papa Bites platform with a limited time new dessert, Twix Papa Bites, served with a caramel dipping sauce. I highly recommend that you place an order or two as part of your Papa John's research. Another foundational component of our model is the continual evolution and improvement of our digital platform. We've been an industry leader in digital as technology has made it easier for us to engage and service our customers from any device. Our years of leadership in digital give us a competitive advantage over other QSRs entering this space, as more than 85% of our transactions already occur through digital channels, providing us with a significant amount of insights to drive differentiation through better innovation and ongoing digital product improvements. Today, I would like to share an update on three components of our digital universe e-commerce, aggregators, and loyalty. Recent enhancements to our e-commerce platforms have focused on highlighting value for our most price sensitive customer segments and are driving improved website and app conversion rates. We're also focused on simplifying our digital ordering journey by offering clear, fast, and easy to understand navigation paths into the menu which can increase attachment rates. When it comes to third-party aggregators, Papa John's has been a leader in aggregator integration since 2019. We are excited about the partnerships that we have built over these four years and continue to grow rapidly in the space. We remain committed to meeting customers where they want to order from us and to giving them high quality innovative products, providing great value, and delivering excellent service regardless of the channel in which they order. Currently, approximately 85% of our sales take place in our organic carryout and delivery channels, with carryout mixing slightly higher when compared with the same period last year. The other 15% comes from third-party aggregators. Additionally, as new national pizza chains arrive on the aggregator platforms, the pizza category has continued to expand its share of the overall aggregator market. It turns out pizza is a great product for home delivery. Since the first day that we entered this platform, we have been competing with thousands of hometown pizza shops. Over the last three years, Pizza Hut and Little Caesar's also entered this channel. And despite the increased national pizza chain competition, our DoorDash sales have grown more than 150% over that same time period. There continues to be a lot of room for category expansion, indicating that competitive entries do not necessarily lead to significant volume loss for brands that have been thriving in this space for years. Lastly, we are excited about the opportunity that this business model provides for us to increase our volume in the lunch and late night day parts, which today are a smaller segment of our business, but represent opportunities for significant future gains. Historically, it has been challenging to execute our delivery model at lunch and late night due to the lack of consistent ordering patterns and commensurately the ability to accurately forecast the labor necessary to meet the variable demand. The on-demand labor that the aggregators provide through their delivery-as-a-service model solves this challenge for us. We know that we can be best-in-class in this channel and garner more than our fair share of the transactions, because we believe that our product innovation, premium positioning, coupled with great value, is a unique combination of category attributes that give us an advantage over the competition. The aggregator marketplace dynamic makes it more difficult to win on low prices alone as the incremental fees reduce the ability to offer steep discounts. In turn, this enhances the value of our premium and innovative products. Complementing this growth is our core business, where we will continue to innovate and deliver targeted promotions to our most valuable customer base, our Papa John's rewards members. Our goal is to be able to offer our rewards members attractive incentives to order through our organic channels. This will ensure that they continue to have higher frequency and higher tickets. We are currently working to enhance our loyalty program and anticipate even better program performance in 2024 and beyond. We will also benefit from the improved productivity that we expect from the advertising and media review process that we are currently conducting. Turning to our Commissary business, which we do not always talk a lot about, we have some exciting news to share. Although this segment of our business operates at a lower margin, it is a consistent way to provide our system with the fresh ingredients necessary to deliver the level of quality that our customers expect. We are relatively unique in the QSR industry with a vertically-integrated supply chain and distribution network that operates on a fixed operating margin basis, which is currently set at 4%. This business is our largest source of company revenue and as our business continues to scale, we continue to evolve our approach with our franchisees to increase investment in our supply chain infrastructure. These efforts will ensure that we continue to deliver high quality ingredients to our restaurants and support our system growth as well as incentivize our franchisees to grow. Beginning in 2024, we will increase the fixed operating market that our U.S. domestic commissaries charge by 100 basis points in each of the next four years, moving from 4% today to 8% in 2027. At the same time, we are offering new opportunities for our franchisees to earn annual incentive-based rebates as they increase volume and open new restaurants, which will drive even more continued productivity for our system. The incentive based rebates will provide the opportunity for our franchisees to earn a reduced effective supply chain rate as they continue to grow on an annual basis. Finally, I would like to briefly touch upon our UK market. As previously discussed, we have been making targeted investments in our international organization, setting us up for long-term success in this growing segment of our business. Our efforts over the past year have also focused on repositioning our UK portfolio in a way that ensures our franchisees in the total market will drive healthy growth over the long-term. This has led to the rotation of some franchise entities to other more proven franchisees. These efforts are paying dividends, as we continue to see improved performance from these locations quarter-after-quarter. Lastly, as you recall, in June, we announced the purchase of a portfolio of franchise restaurants, with the goal helping to realign this market for long-term profitable growth. Although we expected and communicated that, these stores would be dilutive to earnings during our first year of operations, they are slightly more dilutive than we anticipated, as evidenced in our third quarter results, and they will continue to be a drag on profits in the fourth quarter and into 2024. However, we anticipate sequential quarterly improvements in profitability, and we are making the necessary investments to improve their sales and profitability with a focus on labor optimization, product innovation, and e commerce enhancements. We continue to be confident in long-term potential of the UK market. Now, I'd like to turn the call over to Ravi to cover the financial portion of today's call. Ravi?
Ravi Thanawala: Thank you, Rob, and good morning, everyone. Over the past few months, I've had the chance to get to know many of you within the financial community and I've enjoyed listening to and learning from you. Furthermore, I've been able to dive deeper into all aspects of our business, working alongside our finance team and our executive leaders to gain a better understanding of Papa John's long-term potential. My conviction in the Company has only grown stronger. As I see notable opportunities to continue driving top-line sales and improve profitability over the long-term. Our approach to innovation is core to our competitive advantage it allows us to adapt at the pace of the consumer. Additionally, with the overwhelming majority of our transactions occurring on digital platforms, we have the opportunity to test and learn quickly to drive impact in the marketplace. Finally, while we remain in a dynamic operating environment internationally, which will continue to weigh on our near-term results, there remains amazing earnings potential over the long-term through improving average unit volumes or AUVs and continued development. Now on to our third quarter financial results. For the quarter, global system wide restaurant sales were 1.23 billion, up 5% in constant currency from the prior year. New restaurant openings and strong North America comp sales were the primary drivers of the higher system wide sales. This continued growth demonstrates the strength of our brand and the opportunity to develop more restaurants. As Rob mentioned earlier, our 3% increase in North America comp sales was the result of a 6% increase in our company-owned restaurants and a 2% increase in our franchised restaurants. Higher transactions drove this growth as we saw an increase in sales through our aggregated channels along with improved year-on-year conversion rates through our own digital channels. Exiting the quarter, our year-over-year sales comparisons remain positive. Our FP&A and revenue management teams continue to do a great job analyzing daily and weekly trends to ensure our business models are evolving with the latest consumer trends, ultimately enabling us to continue optimizing revenues and maximizing long-term profitability. International comps, which were down less than 1% in the third quarter, have sequentially improved throughout 2023. For the third quarter, positive comp sales in the Middle East and our turnaround efforts in the UK were offset by softening sales within our Asia and Latin America markets. Total revenues for the third quarter were $523 million, up 2% versus the third quarter last year, driven by growth in our North America sales and the consolidation of the 118 restaurants we acquired in the UK. This growth was somewhat offset by lower commissary revenues due to decreased commodities prices. You'll recall in June, we completed the purchase of 91 formerly franchised restaurants in the UK, and in July, we acquired 27 additional locations. The results of these restaurants are now reflected in our international revenues and expenses. Excluding the impact of these acquisitions, total revenues were up 1% year-over-year. Turning to profits, adjusted operating income for the third quarter was $34 million in line with the prior year period while adjusted operating margins were 6.4% down slightly from a year ago. As Rob mentioned, we are pleased with the progress in our North America business, driving comp sales, improving corporate restaurant margins 130 basis points. However, as we are in early innings of our UK turnaround, the recently acquired company-owned restaurants were dilutive to our profitability. Our back to better strategic initiatives led to higher restaurant level margins at our domestic company-owned restaurants due higher comp sales and labor efficiencies, which I will discuss in a moment. These improvements were somewhat offset by anticipated higher G&A expense due to higher variable compensation expense when compared with the third quarter last year along with higher health care costs. In addition, there was higher depreciation and amortization expense related to our continued investment in restaurant and technology support along with the recently acquired UK restaurants. For modeling purposes, we expect depreciation and amortization expense to be at the higher end of our guidance of $60 million to $65 million in 2023. Our teams continuing to take a disciplined approach to managing costs while supporting strategic growth initiatives. As we look to 2024, higher variable compensation insurance costs along with the full year impact of our UK acquisition will continue to be a headwind for year-on-year comparisons. So let's take a deeper dive into our domestic company-owned restaurant level margins. For the third quarter, food basket costs at our company-owned restaurants improved 290 basis points compared with the prior year as we experienced meaningful relief from prior year peaks, particularly in cheese and proteins. Labor costs improved 60 basis points during the quarter as our restaurants teams are doing a great job executing our back to better initiatives. On a combined basis, commodities and labor costs contributed approximately 350 basis points of margin improvement year-on-year in our domestic company-owned restaurant segment. Somewhat offsetting the 350 basis points improvement was a lower average ticket as carry up and third-party aggregator mix was higher. Overall, company-owned restaurant operating margins improved by approximately 130 basis points when compared with the same period a year ago. Moving on to cash flow and balance sheet. For the first nine months of the year, net cash provided by operating activities was $127 million up from $77 million a year ago. After deducting $51 million in capital expenditures for the development of new domestic restaurants and investments in technology innovation, we generated free cash flows of $76 million. This is up from $28 million in the first nine months of 2022, reflecting the positive impact of our overall business performance, lower performance compensation and working capital changes. We ended the quarter with a healthy liquidity position, which totaled approximately $260 million in cash and borrowings available under our revolving credit facility and a gross leverage ratio of 3.4 times. Based on our strong balance sheet and positive free cash flow outlook, our board has declared a fourth quarter dividend of $0.46 per common share, which is a $1.84 on an annualized basis and in line with our third quarter payment. Our capital structure provides us with substantial operating flexibility. We will continue to take a disciplined and balanced approach to managing our cash flows, creating shareholder value through a combination of organic growth investments, debt repayments, cash dividends and share repurchases. Turning to development. In the third quarter, we added eight net new units in North America, bringing our total North America accounts to 3,397 units. We currently have 45 units under construction and most are expected to open in the fourth quarter. To-date, we have been pleased with the performance of new restaurants. Internationally, we opened 37 net new units in the quarter, bringing our international account to 2,428 units and our total system-wide restaurants to 5,825 units. Consistent with prior years, our system-wide development is weighted towards the second half of the year, with the largest number of openings expected to recur in the fourth quarter. Now to our outlook. We are narrowing our 2023 North America comp guidance to a range of flat to plus 1%. Furthermore, we are reiterating our long-term expectations of growing our North America comps between 2% and 4% annually. This growth will be driven by new menu innovations, enhancements to our digital experience, and execution of our back-to-better strategic initiatives. We anticipate international comps will remain under pressure for the fourth quarter, as sales headwinds within our Asia markets are expected to persist and the geopolitical uncertainty related to the evolving Middle East conflict weighs on our results. We are confident in the success of our international markets over the long-term, but approaching the remainder of 2023 and 2024 with appropriate caution given the ongoing dynamic environment globally. We now expect our adjusted operating margins in 2023 to be down, when compared with 2022, primarily driven by the recent acquisition of the UK restaurants. This headwind will all set the benefit of the 53rd week and positive impact of our operational excellence initiatives, within our domestic company-owned restaurants. In terms of our non-operating expense items, we expect our net interest expense to remain between $40 million and $45 million and our capital expenditures to remain between $80 million and $90 million, and our tax rate to be between 22% and 24%. Finally, from a development perspective, in 2023, we expect to open between 245 to 260 net new units, which is strong growth, but below our prior guidance of 270 to 310 net new units. This new range reflects a higher degree of uncertainty in the Middle East, potential closures in the UK and a more cautious outlook in Asia for the remainder of the year. We are focused on thoughtfully expanding in our most important markets and entering new markets. With that said, we do expect that our 2024 development will be lower than our long-term guide of 5% to 7% system-wide annual growth. This assumes the same challenges we anticipate entering the fourth quarter, continue into 2024. As I mentioned before, we are pleased with the performance of our recently opened restaurants in North America and expect net new unit development for North America to increase in 2024 relative to 2023 net openings. Recall, development in the United States is our most profitable development given the higher AUVs these restaurants produce. I'd like to close by thanking all of our team members who have proven their agility to operate through dynamic environments while also staying focused on our long-term strategy. Their commitment to better helps to drive our strategic growth initiatives forward and further strengthens our business model. Thank you. And with that, I'll turn the call over to Rob for some final comments. Rob?
Rob Lynch: Thank you, Ravi. In closing, our North America business remains strong and our system wide sales continue to grow despite some near-term challenges that we face in this global macroeconomic environment. Our healthy performance in the quarter was driven by menu innovation, revenue management enhancements and continued growth in our third-party aggregator channel. We are on track to report our fourth straight year of positive comps in North America and the structural changes that we announced today in our commissary business will significantly improve our company's long-term profitability. We recognize that our international markets will remain under pressure temporarily, but we see a long runway ahead in terms of development and I'm confident that we have the right strategies in place to achieve success. We are also pleased to see our UK comps turn positive this quarter as we reposition this market and expect to see sequential improvement looking forward. Our targeted investments across our business will enable us to improve our sales and profitability as we focus on product innovation, labor optimization operational excellence through our back to better initiatives and digital enhancements. This quarter has been a great example of how our back to better initiatives resulted in strong performance on the top- and bottom-line for our North America business. Finally, I am so proud of the culture we've created within Papa John's and our efforts continue to be recognized externally as Forbes recently named Papa John's one of the World's Best Employers for a second year in a row. I remain excited about the growth opportunities and earnings potential ahead. At this point, I'd like to open it up for questions.
Operator: [Operator Instructions] And our first question comes from Chris O'Cull from Stifel.
Chris O'Cull: I guess, I'll start out with a question just on what's going on with the category. The largest player has been very aggressive with promotional offers in the current quarter with the launch of a new loyalty program and some other things. And I'm just wondering whether, Rob, this has impacted the business in the near-term and if so, how you think you need to or whether you think you need to respond?
Rob Lynch: The largest competitor has been running 50% off discounts for the last couple of years. That hasn't been a strategy that we've chosen to employ and they've gotten even more aggressive, but I think evidenced by the quarter's top-line sales results that's not necessarily the strategy that is delivering growth right now in this category. 3% comps in North America, 6% comps at the Company restaurants. We feel like we have the right plan in place. We continue to offer premium innovation, while delivering on the needs of the value customer through our barbell strategy. So we're delivering value really at every segment of our business, whether it's our LTO promotions, our core menu or in the aggregators, and that's what's driving our growth. So, we feel great about that strategy and continue to leverage that moving forward.
Operator: And our next question comes from Brian Bittner from Oppenheimer and Company. Your line is now open.
Brian Bittner: Can you just talk maybe a little more specifically about what drove this big improvement in North America comps from where you were trending in the last quarter because it improved both obviously on a one year basis, but also improved pretty meaningfully on a kind of verse 19 basis. And as a follow-up to that, you have this guidance narrowed to 0% to 1% for the year for North America comps. It does imply a pretty wide range for 4Q. I mean, mathematically anywhere from down slightly to up 3%. So, I'm not sure if you kind of want to narrow the fourth quarter for us, that'd be helpful. Thanks.
Ravi Thanawala: Yes. So, Brian, we have been focused on making sure that we are nailing our innovation. Our Garlic Epic Stuffed Crust was a big success for us. We sold a lot of those incrementally to our core, Epic Stuffed Crust formed. So innovation was a big part of the quarter, but it's also just a continued commitment to delivering digital excellence across all of our platforms. Organically, we were able to drive our transactions across the system, and our aggregator partners have been a big part of our growth story. I know there's a lot of talk about how the aggregators are going to impact this business long-term. We continue to see the Pizza segment within the aggregator channel continue to grow and take share. So, I think folks are starting to, I kind of joked about it a little bit in the script, but pizza is built for delivery. And so the quality that you get when you order a pizza for delivery is going to be significantly greater than a lot of the other things that are being offered through the QSR channel at points. So Pizza is going to continue to grow in that category. We feel like we are well positioned to continue to lead that growth despite some of the competitive challenges and entries that we've seen over the last couple of years. So that's the driver of our growth right now, the organic business and the value and the innovation that we're offering in the aggregator channel that we continue to leverage. Yes, in terms of the comps in Q4, I'm sorry, your second piece. In terms of the comps in Q4, yes, I mean we've guided positive in the back half, and our belief is that we're going to be positive in Q4 as well.
Operator: [Operator Instructions] And our next question comes from Sara Senatore from Bank of America. Your line is now open.
Sara Senatore: Great. Thank you very much. Could you just talk about the unit economics and franchisee unit economics in particular? I know you mentioned next year, our growth kind of being at the low end of the range. I understand that there's some headwinds in terms of macro or perhaps getting restaurants stood up. But just trying to understand kind of the confidence in accelerating back to that 5% to 7% overtime and whether or not that has underpinnings and sort of perhaps improved unit economics or franchisees?
Rob Lynch: I mean, across our system, the unit economics have improved. Our company restaurants have improved every quarter sequentially for the year. So, we have continued to leverage, both the sales, but also some of the efficiencies that we have built in our back to better operations initiative across the system. We have talked about our revenue management capability. We are making big investments there on optimizing that even further, trying to make sure that, it takes into account all the different channels in which we compete, to ensure that, we are offering the right level of value to optimize the mix of our business across the channels in which we operate. So, we have not guided lower in 2024 from a restaurant margin standpoint. So we guided a bit lower on development. And really, frankly, that is just because of the uncertainty that we see right now in the Middle East and in some parts of Asia. We just want to make sure that we are misleading anyone on the growth trajectory. We still have great partners in all of the regions in which we compete. We have the agreements in place and continue to sign new agreements. So, there is lots of commitments. There is lots of excitement about growth. I think the macroeconomic environment in some of these big markets is just concerning for some of our franchisees. And we want to make sure that, they are opening restaurants that they want to open, that they are economically equipped to do that and invest in them the way they need to make sure that they are successful in the long-term. The other thing I would tell you, Sara is, North America continues to be strong. And we see development growing in North America. This supply chain initiative that we are putting in place is really focused on giving incentive. It is one tool that we are using to give incentive to our franchisees to grow. We have other incentives that we are contemplating and discussing with franchisees right now. But I am laser-focused in this volatile global environment, laser-focused on making sure that, we deliver and over deliver on North America development. So we are making a lot of investments there. We are working on our franchisees to make sure that we have a model in place that takes advantage of these improved unit economics.
Operator: [Operator Instructions] And our next question comes from Andrew Strelzik from BMO Capital Markets. Your line is now open.
Andrew Strelzik: I wanted to ask about the decision to increase the commissary margins over the next several years. And how you thought about that opportunity and balancing it versus the franchise economics dynamics and what you intend to achieve from a unit growth perspective. Why, or I guess, what's the feedback been so far for franchisees? Why is kind of 8% the right place to end up? And maybe where do you expect the realized margin to land with the incentives?
Rob Lynch: So the 8% is really a function of a benchmarking study we did for similar business models. Not necessarily exactly the same as ours because there's really only one or two exactly like ours. But, we are vertically integrated both manufacturing and distribution. So, we looked at the margin rates on manufacturing, partners for QSR as well as distribution partners for QSR. And we actually chose it to land on the low end of what the average margins are from that as a result of that benchmarking study. If you think about this part of the business, every 100 basis points of this equates to approximately 30 basis points of cost in food cost because food cost on average represents about 30% of the P&L. So, the 400 basis points we're talking about, it's really somewhere between 100 and 120 basis points of impact on a restaurant P&L. But the program that we put in place has incentive based rebates. It allows franchisees to earn reductions in those rebates. So for franchisees that are growing at certain levels, they have the opportunity to mitigate the impact of this increase in cost. In addition to that as I mentioned, we are also looking at other business model enhancements that will actually reduce the cost and the fee structures across different components of the business for franchisees. So, we see -- when you compile all of these opportunities, we actually see margin improvement at the restaurant level. So, we're giving incentives to drive volume growth both through transactions as well as development. We're also decreasing the overall cost of operations through some of these, fee structure modeling that we're doing with franchisees.
Operator: And our next question comes from Peter Saleh from BTIG. Your line is now open.
Peter Saleh: Rob, I just wanted to kind of focus a little bit more on this supply chain change as it's pretty meaningful. I think in the past you guys have had a higher supply chain margin and that's come down over time and I know many of your peers have a higher margin. I'm just curious, how you think this impact the store base at least in the next year or two. Do you anticipate that some of the smaller franchisees may want to sell to some of the larger franchisees? Do you think the initial impact here is just slower development before the people digest this, the franchisees digest this? How do we think about this maybe in the context of 2024 and development, as we get into 2024 and 2025?
Rob Lynch: I want to make it very, very clear. This supply chain change will not be a material impact to the restaurant profitability. And when coupled with other programs that we are putting in place heading into 2024, there will be a net increase and improvement in restaurant profitability. The other piece I want to also make our own -- during our -- in our supply chain, we are always looking at productivity. So when you think about the impact of the restaurants of call it 30 basis points across the entire P&L from this change on an annual basis, our goal will be to mitigate a lot of that through productivity in the supply chain, so that this becomes even less material. And once again, with the volume based incentive that we're offering, there -- this will not be a material impact to restaurants. I mean, we own 500 restaurants. Our goal in this system is to create the most profitable restaurant model for all of our franchisees as well as our company restaurants. And so, we do not anticipate this having any impact on franchisees closing or development moving forward once all the program components are implemented across the P&L.
Operator: And our next question comes from Joshua Long from Stephens Inc. Your line is now open.
Joshua Long: I was curious if you could talk about the back to better initiatives now that they've been across the system for a little while, any early learnings from that. I imagine that those have some tailwinds to them, especially as you put up great results like you did this morning. And then secondarily on that same note, as you think about kind of the back to better approach and then simplifying or at least optimizing operations and what that does in terms of unlock to support your menu innovation initiatives on a go forward basis?
Rob Lynch: Sure. Yes. I mean, right now, we are in a very quickly evolving operating environment. So as the business evolves to incorporate our aggregator partners in the aggregator channel as it evolves to a higher proportion of carryout business, we really need to optimize how we schedule, deploy, and manage labor across all of those channels. So, labor optimization is a big opportunity as you think about our business model leveraging external labor. So our back to better is not just about becoming more efficient in terms our out the door times and those other metrics, which by the way have improved dramatically. As I highlighted, we've moved our out the door times in our company markets from around 28 minutes to below 20 minutes at this point, which is transformational from a customer service and throughput standpoint, but it's also about leveraging technology to make sure that we have the right labor in the right restaurants at the right time and that's going to also make our restaurants more efficient, more productive, improve the P&Ls and drive more franchisee profitability.
Operator: And our next Question comes from Eric Gonzalez from KeyBanc. Your line is now open
Eric Gonzalez: My question is about the North America store level margin. I think you said food costs were 290 basis points better and that you levered labor by about 60 basis points. So I'm curious if you could help bridge the gap to the 130 basis points of improvement? And in terms of how much of a drag that increase in third-party mix was? And what does that say about the profitability of that channel? And really what's driving that increase in third-party mix this quarter?
Ravi Thanawala: Thanks for the question, Eric. Couple of thoughts there. The first is, like, our focus is on, making sure we are serving the consumer on where they want to get Papa John's and that's across both their party aggregators as well as our organic digital channels. When we think about the impact of the change in sales mix across carryout delivery and third-party aggregators, it was about a 150 basis points of compression in the quarter. What's important to note there is like, in the aggregators, as Rob mentioned, we are leaning in further into the lunch and late night day part. The shape of those transactions and what the consumer is purchasing at those parts of the day part are just different than dinner. And that's yielding; one, a positive incremental, day part opportunity for us; but two, it does have some compression on the ticket.
Eric Gonzalez: Got it.
Rob Lynch: They are just smaller orders, which is going to drive lower ticket. It's not necessarily cannibalization of our court dinner day part. It is adding new day parts that have a different ticket composition.
Eric Gonzalez: Is there a way you can maybe frame it, like, in terms of how much of the comp was driven by that part of the business?
Rob Lynch: I don't know that we are necessarily breaking it out that way at this point, Eric.
Operator: [Operator Instructions] Alex Slagle, your line is now -- Alex Slagle from Jefferies. Your line is now open.
Alex Slagle: Wanted to see if you could just talk to the path to improvements from the revenue management optimization work with the franchisees and sort of how far you have gotten there? How long you think it takes to get everyone on board and where you want to get to?
Rob Lynch: Great question. This is one of the more complex revenue management models in the industry. And the reason why I say that is, because, we have regular menu prices. We have specials and discounts that are promoted across all of our channels. And we have the aggregator pricing. We have a lot of different, moving pieces. When you drive through a drive through, when you look at the menu board, whatever the price is, is what you are going to pay, right. And you are not looking for special deals. When you go into our channels in our digital platforms, you are looking at not just our regular menu price, but you are looking at the promotions. You are also looking at all the specials and deals, and those can vary from different market, even by different stores within a market. So as we think about revenue management, there really is a huge number of things to take into consideration to optimize every unique store's individual profitability. And so, we have been working on that for really the last couple of years. We are about to enter into a big revenue management project, with some external partners to be able to digest all of our data and our franchisees data. And really give us that optimized model at a more local even a store basis, which is really hard for us to do with 3,400 restaurants with our internal infrastructure. So, we're bringing in a partner that's going to help us do that even, more productively. And so, it's really just taking that project off. So, I think that that can pay a lot of dividends here in 2024.
Operator: And our next question comes from Brian Mullan from Piper Sandler. Your line is now open.
Brian Mullan: In the prepared remarks, you spoke to enhancing the loyalty program potentially having even better performance next year. Could you just elaborate on that a little bit? Are there consumer facing changes in the program you plan to make? Or is this maybe just about developing better internal capabilities to use the data with the current program you already have? Just any color you could add would be great.
Rob Lynch: Yes, Brian, I would say all of the above. I mean, I view our loyalty platform as a strategic tool for us to make sure that we hold on to our most valuable customers. Our loyalty members are our most frequent and highest ticket customers. And so, we don't get to market to them and reach them in the same way through our aggregator channel. So, we need to make sure that we have shored up our loyalty platform both from a value standpoint, but also from an incentive standpoint. The offerings that we provide, the incentives that we give them to order from us versus other channels, so that work is all underway right now and so our intent is for that to have an impact and be realized both externally as well as the benefit internally when we continue to leverage the data that we get from all of those transactions. So, that's going to come to fruition here in 2024.
Operator: And our next question comes from Lauren Silverman from Deutsche Bank. Your line is now open.
Lauren Silverman: I wanted to ask about the expectations for 2024 North America comps and how you're thinking about the composition between traffic and price. And then Rob, if I can just follow up on your commentary around the strong value proposition for a family, do you think that Papa John's or I mean even the pizza category in general is getting the credit it deserves value? Is there more that you can do to better communicate that?
Rob Lynch: Yes. I think we're doing a pretty good job of communicating it. That's why we drove the most transactions last quarter, almost highest transaction growth last quarter in the segment. So, we can always get better and we're continuing to learn through all of the data that we get from all of our channels. But we're going to be focused on the same strategy that has delivered fourth consecutive years of same store sales growth. I think the only one and the national pizza category to do that. So, we're going to deliver premium innovation and we're going to continue to offer values. You can still get a large one topping pizza at Papa John's carryout special under $10 in all of our company restaurants. So, I think we do offer a lot of great value for the customers that need it. That's just not what we advertise because we're focused on delivering and premium innovation that delivers top-line sales growth. So that strategy is in place we guided. Next year, we still feel great about our 2% to 4% guide long-term. We guided towards the lower end for next year. That composition we don't see changing materially versus what we've delivered this year. We have a lot of momentum continuing to drive transaction growth. Ideally, we'd be able to incorporate some pricing into there to mitigate any cost inflation that we see. Right now, we're not anticipating significant levels of inflation similar to which is a departure from what we've seen over the last 18 to 24 months. So, it's going to be a balanced approach that I think will deliver that positive same-store sales growth.
Operator: Thank you. And I am showing no further questions. I would now like to turn the call over to Rob Lynch for closing remarks.
Rob Lynch: Well, thanks everyone for participating on the call. I hope you agree it was a really strong quarter, particularly for our North America business. And despite the volatility that everyone is talking about in the international markets, we continue to see positive growth ahead for the brand. I'd like to thank everyone for your continued interest in Papa John's. I'd also like to thank our team members and franchisees. They continue to show unbelievable resiliency and agility during these unique times for all of us. So, I look forward to connecting again and sharing our 2023 results with you in February. Thank you.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.